Operator: Good afternoon, and welcome to the RingCentral Fourth Quarter 2022 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Will Wong. Please go ahead.
Will Wong: Thank you. Good afternoon, and welcome to RingCentral's fourth quarter and full year 2022 earnings conference call. I'm Will Wong, VP of Investor Relations. Joining me today are Vlad Shmunis, Founder, Chairman and CEO; Mo Katibeh, President and Chief Operating Officer; and Sonalee Parekh, Chief Financial Officer. Our format today will include prepared remarks by Vlad, Mo and Sonalee, followed by Q&A. We also have a slide presentation available on our Investor Relations website that will coincide with today's call, which you can find under the Financial Results section at ir.ringcentral.com. Some of our discussion and responses to your questions will contain forward-looking statements regarding the company's business operations, financial performance and outlook. These statements are subject to risks and uncertainties, some of which are beyond our control and are not guarantees of future performance. Actual results may differ materially from our forward‐looking statements and we undertake no obligation to update these statements after this call. For a complete discussion of the risks and uncertainties related to our business, please refer to the information contained in our filings with the Securities and Exchange Commission, as well as today’s earnings release. Unless otherwise indicated, all measures that follow are non‐GAAP with year-over-year comparisons. A reconciliation of all GAAP to non‐GAAP results is provided with our earnings release and in the slide deck. For certain forward‐looking guidance, a reconciliation of the non‐GAAP financial guidance to the corresponding GAAP measure is not available as discussed in detail in the slide deck posted on our Investor Relations website. With that, I’ll turn the call over to Vlad.
Vlad Shmunis: Thanks Will. Good afternoon and thank you for joining our fourth quarter earnings conference call. 2022 was a milestone year for RingCentral. I am very proud of what our team has achieved against a challenging macroeconomic backdrop. The strength and resilience of our business model and stickiness of our customer base allowed us to once again deliver on our guidance. Let me give you a few facts regarding 2022. One, we finished the year with $2.1 billion of annual recurring revenue. We are now one of only ten pure-play SaaS companies with over $2 billion of recurring revenue and greater than 80% subscription gross margins. Two, we exited the year with a record operating margin of 14%, which is up over 300 basis points versus last year. Three, contact center is now approximately a $300 million ARR business, which we believe makes us a top 5 global CCaaS provider. And four, most importantly, we still invested over a $0.25 billion in product and technology, further cementing our market leadership position. And going from strength to strength, in 2022, RingCentral received over 30 workplace and employer brand awards. We were honored to be included among the best companies for diversity, women, and company culture. This allowed us to build a world-class team, as we attracted top notch senior executive talent from companies such as Google, Adobe, AWS, NVIDIA and Five9. Building on this solid foundation, we expect continued growth and improving customer acquisition costs, resulting in strong operating margin expansion. We have also made significant progress driving down SBC as a percent of revenue by almost 400 basis points in 2022 and we expect continued improvement in this area going forward. All this puts us on a path to significantly stronger free cash flow, which, combined with our new credit facility, puts us well on our way towards addressing our outstanding converts. Mo and Sonalee will provide more detail about our results and outlook shortly. But before they do, let me remind you of the main drivers of our success. It comes down to our corporate values: trust, innovation and partnerships. First, Trust. Q4 marked the 18th consecutive quarter of 99.999% uptime. Reliability is often the single most important factor for customers, as our service is mission critical to them. They select RingCentral because we can be trusted to connect them with anyone, anywhere and at any time. This continues to be a positive differentiator for us in our industry. And we see it in our base, with over 95% of our customers actively using RingCentral for both internal and external communications and with billions of API calls each month. Trust also means data privacy and security. This quarter, we expanded end‐to‐end encryption beyond support for video. It now includes messaging and phone, giving customers the ability to keep critical information safe. Privacy and security are top priorities, and we will continue to invest to maintain our leadership in this important area given its criticality to our customers. Second, innovation. RingCentral was built on the dual megatrends of mobility and distributed workforces, which we leveraged to improve the effectiveness of communications for enterprises worldwide. And now there is a new megatrend emerging that is potentially even more disruptive, namely AI. While the power of large language model AI has recently captured the imagination of the broader public, we are proud to have been one of the first in our industry to deploy these types of solutions. We are leveraging AI to make real time communications more intelligent, seamless, and effective. Noise reduction, echo cancellation, virtual backgrounds, meeting transcriptions, summaries and highlights are just a few examples of how we use AI to further enhance our users’ experiences and productivity. Moving forward, we will continue to invest in AI across our portfolio. You will see us launching new products that leverage AI to improve efficiency of collaboration for knowledge workers, improve the efficacy of our Contact Center for Agents and Supervisors, and improve the productivity for front-line workers. We expect these investments will further cement our leadership position in the age of AI. Stay tuned for exciting new product announcements throughout 2023. Outside of AI, we’ve added hundreds of features to our platform in 2022. This includes delivering on our advanced EU data privacy requirements, Ray BAUM’S Act compliance, browser support for Firefox, enablement of GSP partners like Vodafone and Charter, the introduction of device-as-a-service, new unique integrations for RingCentral Contact Center, a revamped resource center, 60-plus new integrations into key third-party tools to simplify customer workflows, and expansion to additional digital customer engagement channels like LinkedIn for example. And finally, partnerships. We are committed to our strategy of partnering with the world’s most recognizable brands to create additional value for businesses and enterprises worldwide. Our partnerships with companies like AT&T, BT, Vodafone and a number of others are unique and have been a meaningful driver of our success. Partnerships remain an important part of our strategy. Mo will double click, but let me share couple recent highlights. First, we are launching a new partnership with AWS. This announcement marks the beginning of an important new relationship, whereby we will work together with AWS to deliver technologies and innovations that improve business communications for today’s hybrid workforce. Under this new multi-year strategic agreement, RingCentral and AWS will directly sell our product, and customers will be able to directly purchase RingCentral MVP and Contact Center solutions from the AWS Marketplace. In addition, RingCentral and AWS will work together to develop and deliver vertical solutions for businesses in core industries such as healthcare, financial services, retail, education and public sector, as well as invest in joint marketing, lead generation and promotion activities together. We are extremely excited about this new strategic relationship and cannot wait to get started. Also, yesterday we announced an extended and expanded agreement to our strategic partnership with Avaya, with significantly improved terms. Avaya Cloud Office by RingCentral remains Avaya’s exclusive multi-tenanted UCaaS solution to Avaya customers. Avaya continues to hold the world’s largest base of Unified Communications on-prem users, and we remain best positioned to migrate this base to the cloud. Looking ahead, there are hundreds of millions of on-prem seats that are still to be migrated and where we have the right to win every day. There is tremendous product market fit, and we have the product, partnerships and most importantly, people to capture this large, untapped opportunity that is still in front of us. With that, let me turn the call over to Mo to discuss in more detail what we are seeing in the market today.
Mo Katibeh: Thanks Vlad. We continue to execute well and delivered solid results in the current environment. Upmarket new logo acquisition was robust. Also, our net retention rate in Q4 was again over 100%, demonstrating our ability to both land and expand, and driven in part by continued strength within our contact center, which grew above the company average. Our contact center brings together the world’s leading UC and CC. In the latest 2022 Gartner Critical Capabilities for Unified Communications as a Service Worldwide report, RingCentral ranked first in the UC with integrated contact center use case ahead of 11 other vendors. And the reason why is tightly integrated functionality that benefits customers of all sizes with unique, differentiated experiences. First, for agents, our integrated solution offers seamless access to other non-contact center employees across the business and the ability to share simple context for the interaction, and two, for supervisors, our Performance Management solution, Contact Center Pulse, provides real time alerts on agent performance KPIs using our messaging technology. This allows supervisors to react to changing interaction volumes and agent performance instantly. Our customers also get an end-to-end experience with seamless billing, faster implementation, and integrated support. As Vlad mentioned, there are hundreds of millions of seats in the verticals and geographies that we are actively selling in today. We are mission critical to industries such as healthcare, financial services, retail, education and professional services, where real-time customer interaction is essential to the ability to operate. For example, Aspen Dental, one of the largest dental service organizations in the U.S., Community Health Plan of Washington and Viva Health were all $1 million plus TCV healthcare wins this quarter. They selected RingCentral because we address key priorities for them such as HIPAA compliance, increasing staff efficiency and patient engagement, and of course, reducing care coordination friction. Our differentiation is clearly a driving factor in helping us win not just in healthcare, but also within the Teams ecosystem. We are successful with Teams users because of our unmatched and mission critical capabilities. First, we offer 99.999% of uptime, native PSTN to over 45 countries, and out of the box analytics and reporting. Second, we also have numerous, deep integrations into both our contact center solution as well as leading technology applications such as Google, Salesforce and ServiceNow. And third, we enable native SMS and vertical specific capabilities and integrations that many of our core customers need to do their job. This has resulted in triple digit growth in the fourth quarter and increasing penetration of the Teams base. We continue to see this as an opportunity for future growth. Now, moving to partnerships. On Avaya, we are pleased with the new extended and expanded agreement, which now includes minimum seat commitments and a better aligned incentive structure intended to drive accelerated migration to Avaya Cloud Office. We expect to see renewed focus in selling ACO after Avaya finalizes their recapitalization. We expect Avaya will emerge stronger and better positioned to migrate the world’s largest on-premises installed based to Avaya Cloud Office by RingCentral, the best UCaaS destination for every Avaya Unified Communications customer. Regarding Mitel, we continue to see strong traction since we entered into our strategic partnership in November 2021, with sequential growth in new seat sales every quarter of 2022. In addition to our strategic partners, our channel and GSP partners continue to be integral to our success, providing us with broad distribution and helping us expand our addressable customer base. Leads generated by our channel partners increased over 30% year-over-year in Q4. Channel partners continue to pick RingCentral because of our leading product and ease of working with us. Our GSP partners continue to drive stable growth, and we look forward to the continued ramp of new partners such as Charter and Vodafone. On International, we continue to gain traction with almost triple the number of $1 million plus TCV deals in Q4 versus the prior year. Now turning to what we are seeing in the field. Our Q4 pipeline was up versus last year, and our win rates continue to be steady and strong. However, the conversion of these opportunities continues to be impacted by the current macro environment. Cycles times remain elongated versus last year, with initial deployment sizes down both year-over-year and versus Q3. Customers continue to understand how we are able to save them money while also enhancing their communications channels, but in this environment timing and deal size remain headwinds. What we can control is being more efficient in our go-to-market activities. Sales and marketing expense as a percent of revenue demonstrated solid year-over-year improvement in Q4. And there is more to come, as the impact of the efficiency actions we took in 2022 will be fully realized this year. We have also executed on additional actions to make our go-to-market more efficient going forward. This includes: one, evolving our partnerships to improve overall economics for all parties; two, reducing support functions in sales while investing in front line sales capacity; three, lowering upfront commissions costs across our partners and direct sellers while also allowing top performers to earn more; and four, continuing to be disciplined on marketing spend, which thus far has yielded better leads, with improved conversion rates, and at a lower cost. In summary, we continue to execute well in the current environment. Our ability to help customers save money while increasing their efficiency has not changed. We are continuing to look at all aspects of our go-to-market to ensure we are as efficient as possible for when macro conditions improve, setting us up well for more profitable growth going forward. Now I’ll pass it over to Sonalee to discuss our financials and business outlook.
Sonalee Parekh: Thanks, Mo. Before I discuss our performance and 2023 outlook, I wanted to reflect on what we achieved in 2022. As Vlad said, we are among a select group of SaaS companies with over $2 billion in ARR and subscription gross margins of over 80%. We clearly demonstrated the power of our business model at scale as we solidly exceeded our profitability goals in 2022 against a dynamic and challenging macro backdrop. We are a significantly more profitable company as we enter 2023.  Now, turning to our Q4 performance. Subscriptions revenue of $502 million was up 19% year-over-year and in line with our guidance range. On a constant currency basis, subscriptions revenue rose 21% year-over-year. ARPU was once again stable across both UCaaS and CCaaS, with overall and new acquisition ARPU holding steady above $30. Importantly, new customer ARPU is being generated at more attractive unit economics as customer acquisition cost improves. Moving to profitability. Our non-GAAP operating margin of 14% set another quarterly record and was up over 300 basis points year-over-year, driven by efficiencies generated across the business, most notably in sales and marketing. Now, moving to full year 2022. Subscriptions revenue of $1.89 billion was up 27% year-over-year. On a constant currency basis, subscriptions revenue rose 29% year-over-year. Total revenue of $1.99 billion was up 25% year-over-year. On a constant currency basis, total revenue rose 26%. Our ability to deliver a clearly differentiated product that is highly valued by our sticky customer base continues to generate industry-leading subscription gross margins, which came in at 82.4% in 2022. Moving to ARR. We delivered $2.1 billion of ARR, up 17% year-over-year and 19% on a constant currency basis. Our CCaaS business now represents approximately $300 million of ARR. Going forward, we will provide updates on our CCaaS ARR on a semi-annual basis, with the next update in Q223. We have also set the foundation for expanding profitability. In 2022, our operating profit dollars rose over 50% year-over-year, which resulted in an operating profit margin of 12.4%, up 220 basis points year-over-year, with more to come. Now turning to our balance sheet. We ended 2022 with cash of $270 million. This is inclusive of $55 million of shares repurchased in Q4, bringing the full year total to approximately $100 million. Today we are announcing a new, board approved, share repurchase authorization for $175 million through December 31, 2023.  Moving to free cash flow. As is typical in our industry, timing differences between commissions and customer payments result in a delta between operating margin and free cash flow margin. Thus our free cash flow margin over a 12-month period typically trails our non-GAAP operating margin by five points to six points. These upfront commissions are investments, that result in very attractive ROI over the life of the customer. For the full year 2022, we generated free cash flow of $75 million, or a margin of 4%. This includes a roughly three point impact from items related to restructuring, third-party relocation costs, renegotiating terms with vendors and the linearity of vendor payments. Our disciplined approach to driving productivity and efficiency across the business will result in meaningful free cash flow expansion in 2023 and beyond. We are targeting robust free cash flow growth in 2023 with normalized, unlevered free cash flow doubling over the next two years, 2022 to 2024. The free cash flow growth we project provides us with the flexibility to invest for growth, address our converts and return capital to our shareholders.  On this point, I’m excited to announce that we have entered into a five year, $600 million credit facility consisting of a $400 million Delayed Draw Term Loan A and a $200 million revolver with Bank of America and JPMorgan acting as joint lead arrangers and bookrunners and Wells Fargo as joint bookrunner. Use of proceeds from the revolver and Term Loan A are for general corporate purposes, including the retiring of convertible debt. If market conditions present an attractive opportunity to do so, Term Loan A may be drawn at any time over the next nine months. We saw very strong demand for the facility and had strong participation from leading financial institutions, which is a testament to our strengthening financial profile, strategy of driving efficient growth, robust free cash flow generation, and focus on disciplined capital management. Now turning to guidance. This outlook is reflective of what we see in the market today. It does not assume any improvement to current macro conditions. Taking this into account for the first quarter of 2023, we expect subscriptions revenue growth of 14% to 15%. Total revenue growth of 12% to 13%, non-GAAP operating margin of 16.5% and non-GAAP EPS of $0.69 to $0.70. For the full year 2023, we expect subscriptions revenue growth of 10% to 11%. Total revenue growth of 10% to 11%. Non-GAAP operating profit margin of at least 18%, up at least 560 basis points versus last year. Based on the midpoint of our revenue guidance, we expect operating profit dollars to grow at least 60% and non-GAAP EPS of $3.04 to $3.10. As we look forward, we will be disciplined in protecting our ARPU while managing our cost structure as we drive durable growth and expanding operating profit margins. Our operating margin improvement will be driven by four main factors. One, operating leverage as we continue to scale above $2 billion in recurring revenues. Two, more efficient labor spend and improving the productivity of our workforce. This includes stock-based compensation, which we expect to further improve as a percentage of revenue by more than 100 basis points year-over-year in 2023. Following an almost 400 basis point improvement in 2022, we believe this trend will continue beyond 2023 given: one, our discipline on labor also applies to stock-based compensation, and two, the impact of issuing shares at historical prices. We are committed to driving SBC as a percentage of revenue meaningfully lower over the next two years. Three, a multiyear go-to-market transformation to further improve sales and marketing productivity and partner economics, which will lower the cost of acquiring new customers. Four, vendor rationalization which will drive meaningful procurement savings. These levers are key as we drive towards continued significant margin expansion and growing free cash flow. In summary, 2022 was a year of solid execution despite a difficult macro backdrop. In 2023, we will deliver healthy growth and drive greater efficiency within the business. Two quarters ago, we reiterated our commitment to achieving at least a 20% operating margin.  Since then, we have hit major milestones in the path to achieving this goal. To this end, we are proud to announce that we expect to exit 2023 with at least a 20% operating profit margin. We have built a strong foundation and we remain laser-focused on delivering value to our stakeholders. With that, let’s open the call for questions.
Operator: [Operator Instructions] Our first question comes from Samad Samana with Jefferies. Please go ahead.
Samad Samana: Hey, good evening and thanks for taking my questions. I guess maybe first one, Sonalee only for you. I appreciate, the enhanced disclosures and all the detail around, the leverage. I guess just when I think about capital management strategy overall, now that you have the facility to take care of the converts, how should we think about between the buyback and other ways of using the free cash flow? How should we think about using that over the next 12 months and then redeploying that and is there room for that free cash flow conversion to improve. Now that some of the prepaid commissions that you previously have a better structure with your partnerships?
Sonalee Parekh: Yes, thanks for the question, Samad. And yes, we are very, very excited about the credit facility that we announced today. So that’s a $200 million term loan and $400 million – $200 million revolver and $400 million Term Loan A. And what I would say is our revenue and profitability profile that we outlined for you really allows us to consider accessing all forms of financing, so not just convertible debt markets. And we believe that the Term Loan A really provides us the best option to retire a portion of our convertible debt and reduce those maturities, if market conditions present an attractive opportunity for us to do so. And I would say the terms were very attractive and demand for that transaction was very strong. We have no immediate plan to retire the converts, but we’ll be watching the market closely and make a decision on whether to draw on that Term Loan A or not over the next nine months or so. But within that, we plan to grow EBITDA significantly over the next few years. And that will drive down our leverage multiple significantly and again, presents us with a lot of optionality in terms of how we refinance convertibles? How we decide to invest in our own organic growth? And then as you say share buybacks. So, I really view our capital allocation policy as dynamic. It will take all three forms, but at the moment we are, as very firmly focused on driving margin improvement and also free cash flow. And in terms of the relationship between the two, you heard of my prepared remarks, we’re expecting free cash flow to double over the period 2022 to 2024. However, you still will see about a five point delta between OP margin and free cash flow as is the case and as typical with many SaaS businesses. In terms of the renegotiation of the partnership, that is helpful in terms of driving margin, but it wouldn’t make a significant enough difference in terms of really narrowing that delta. So for now, I would say for modeling purposes, expect that delta to continue between OP margin and free cash flow. Hopefully that answers your question?
Samad Samana: It does. And then I have a follow-up. And this could really be for any of you all, but just as I think about where ARR ended and then the guidance for 2023 for, it kind of suggests that subscription revenue in 2023 will end up being about where ARR ended in 2022. I’m just curious, how should we think about that? Is there an expected uptick and churn in the base or is there a combination of maybe expected churn versus some offset and slower new business? Just how do we reconcile, where the business ended in the fourth quarter and then that forward subscription revenue? And it doesn’t have to be on the math itself, but just maybe how is the company thinking about the business between those two different things?
Sonalee Parekh: Yes, so why don’t I start and then I may hand over to Mo for some comments around the business. We don’t typically guide to ARR, but let me provide some color given your question. So, we are adding net new bookings at a healthy rate and we will in 2023. We’ve shown you a revenue guide of 10% to 11% for 2023, and that does factor in new bookings. And what I would say directionally is, we would expect ARR growth for 2023 to be above where we guided for total revenue growth in 2023. And some of the puts and takes there are, as we are now growing more upmarket and also given the current macro, we’ve assumed more back-end-loaded bookings, and we’re being more conservative in terms of what we’re forecasting on churn and downsell in the current environment, as is prudent. And as our base gets larger, obviously that churn number, even if it’s stable as a percentage, it gets larger as well. But I think the most important thing from your perspective is that ARR growth, we would expect it directionally to be above total revenue growth for the year.
Samad Samana: Really helpful. I’ll hop back in the queue, but great to see all the progress on the margin expansion. Thanks guys.
Sonalee Parekh: Thanks, Samad.
Operator: The next question is from Sterling Auty with SVB. Please go ahead.
Sterling Auty: Yes, thanks. Hi guys. I wanted to ask two questions on the extension with Avaya. The first one is opening up the ability for them to sell direct or kind of in a wholesale method. How does that impact the amount of revenue per seat that you get, which I would imagine gets diminished. But on the flip side, can you talk about the benefit that I imagine you get at the operating margin contribution level?
Mo Katibeh: Thanks for the question. Yes, we’re very excited about the new agreement with Avaya. We expect them as part of their recapitalization to emerge stronger and be focused on selling Avaya Cloud Office as one of their key offerings into the market. As you say, one of the key reasons why we’re excited is because one, we now have minimum seat commitments as part of the arrangement. And two as we think about the product work we’re doing and the new go-to-market motions that we’re introducing, including their ability to sell direct. There’s a lot more incentive for them to actively go look at their existing, the world’s largest base of on-premise seats and move them to the cloud. Relative to the economics, we expect that the economics of them selling direct is actually accretive to the current economics that we’re getting from them, and then it simply becomes a function of what volumes we should be expecting, minimum commits or potentially something larger in the coming quarters and years. So hopefully, that answers your question.
Sterling Auty: It does. Just one follow-up would be, is that accretion at the revenue line, the EBIT line or both? And on the guaranteed minimums, it’s a company that’s coming through a package bankruptcy, what’s kind of the, I guess, the handcuffs or the feet to the fire that get those minimums paid?
Mo Katibeh: Great question. So what I tell you is, yes, for sure on the EBIT/contribution margin side, it’s very much accretive. As you think about revenue, it really becomes a function of the volumes that are sold. In a direct motion, yes, there is less top-line, but to the degree that they have the world’s largest base and are able to actively monetize that base. Then it could certainly be accretive on the top line as well. And then to the final piece of your question, we’re comfortable that the contractual provisions that we have in place will allow us to achieve the minimum commitment volumes. And to the degree, that we’re not able to achieve those, then there’s mechanisms in place to address that as well.
Operator: The next question is from Kash Rangan with Goldman Sachs. Please go ahead.
Kash Rangan: Hi, very nice to see all the operational improvements. It looks like you’re getting super laser-focused on all kinds of levers, top-line expenses, et cetera. Good to see that. Vlad, one for you on AWS or maybe Mo two of you or whoever wants to talk about it. What are the specific segments of the market that you think you can address with this AWS partnership that you could previously not addressed? And how does this work will AWS salespeople get compensated? Will there be commission sharing between the two organizations? And how are you going to be uncovering the lead pipeline with respect to generating this business? And as a follow-up, as a result of that, how much of the AWS partnership is in your guidance? Because if I do some rough math, I look at the net new subscription implied by your guidance. It’s a decline of about 40%, 50%, which guess is consistent with how the fourth quarter panned out. But are you really seeing new business activity in the months of January and February following the trend, or things are looking a little bit better, but you don’t want to get ahead of yourself? Thank you so much.
Vlad Shmunis: Hi, Kash, Vlad here. Yes. No, thanks for the compliment here. Let me take the first part of the first question, please. Look, so it's obviously early with AWS. We just announced. But it seems for now that it will be skewing more upmarket, more enterprise. This is where their sales forces are most active anyway. I can tell you that we're already seeing good deal flow. Obviously, this deal has been in the works for quite some time, and the companies have already begun working together. We noted, I think, in our prepared remarks that our entire portfolio will also be available in the marketplace. So, we expect for this to be more inclusive. But as far as the direct sales efforts, again, I would see more upmarket concentration. And Mo, maybe you can take the second part of the question.
Mo Katibeh: Yes. Absolutely. So Kash, just to build on that. Yes, we're very excited about the AWS opportunity. Considering how new it is, that is not currently in our guidance, A. B, what's really something that has gotten us interested in this one is that to their sellers will be compensated and be able to retire quota by selling our Unified Communications as a Service product. And then there is no commissions back to them, if you will, which was a part of your question. Then I think the final thing that you asked was what are we seeing in terms of so far in 1Q, and the trends that we're seeing in 1Q are consistent with what we saw in 4Q overall. So Kash, I believe we answered your multifaceted question. But if there's anything we missed, please let us know.
Operator: The next question is from Meta Marshall with Morgan Stanley. Please go ahead.
Meta Marshall: Great. Thanks. Understanding you're kind of putting some conservatism in your outlook, but just if you could give a sense of how much of that conservatism was due to the environment that you're seeing versus maybe the cuts that you've made and just needing to see kind of how efficiency changes given some of those cuts. And then just maybe as a second question, you just mentioned that the AWS kind of target customer was more market. I guess just given that they already have their own kind of contact center product, just what was the discussion between kind of your own contact center product versus their product? That would be helpful. Thanks.
Sonalee Parekh: Hi, Meta, so just in answer to your first question, yes, we certainly are taking the current macro into account and what we see in the market today in our guide, which has a degree of prudence in it. We are not factoring in any improvement in the macro. And in terms of your question around the cuts we made and whether that is one of the factors in the guide, what I would say there is the actions we took, and I think we covered this partly in last quarter as well, but I think it's worth reiterating, they were really around being more productive and improving the productivity of our sales motion, and we didn't make any cuts to sort of front-line sales, and I think that's a really important point. And then some of the other levers that you'll see come through the P&L and with our subsequent quarters and margin improvement, it will be things around program spend and procurement savings, vendor rationalization, those kinds of things, which, to me, wouldn't be correlated with growth in any way. So our guidance is very much factoring in what we see in terms of macro today. And the other thing I would add is that we are going to be disciplined when we evaluate deals, and that's something that is sort of guiding principle for us. So that's why we are able to defend our ARPUs and keep them above $30 and why our subscription gross margins are still healthily above 82%. So that would be the only other factor I would call out.
Mo Katibeh: Very good. Meta, and then to answer the AWS section of your question. First, the addition of RingCentral's MVP and contact center solutions are simply going to give AWS customers more choice. AWS, of course, will continue to offer their own solutions as well. But by adding us to their marketplace and to their sellers, they're giving the customers that they have the advantage of a tightly integrated market-leading solution that addresses the needs of many organizations that are looking at buying UC and CC together, which is one of the key trends that we've been calling out for quite a few quarters. And then to the second half of your AWS question, think of it as being sold in two ways, one via the AWS marketplace and then the second one via AWS sales reps. And while products from other UC vendors are available today on the AWS marketplace, RingCentral MVP is the sole UC solution that AWS reps will be proactively selling and receiving commissions for. This arrangement does not exist for any other UC service from another provider.
Operator: The next question is from Brian Peterson with Raymond James. Please go ahead.
Brian Peterson: Hi, thanks for taking the questions. So maybe a high-level question on the go-to-market. I believe in the past, you guys have had this partnership ethos, and it's really been emphasized. And in that channel was really a way for you guys to help provide scale. We've seen significant improvements in the CAC. So I'd love to understand kind of with this new profitability profile and kind of go-to-market motion, does the direct versus indirect or channel relationships change? And how do we think about like using that as a margin lever going forward?
Mo Katibeh: It's a great question. So let me respond to that with a couple of key points. The first one is we're still committed to our strategy of partnering with the world's most recognizable brands across service providers, hyperscalers, legacy PBX providers, et cetera. We know that, that motion gives us unmatched reach into many addressable markets. The Avaya agreement is now enhanced, expanded, extended. Mitel continues to be a strong partner. We're very happy with what we're seeing with our service provider relationships. And then relative to Atos and ALE, what I will tell you is, as Sonalee and I have said, we've been looking at every aspect of our business. And as part of that, we have made various changes to the terms of the arrangements that we have with Atos and Alcatel-Lucent Enterprise. I'm not able to get into the details of those arrangements or the new terms, other than to advise that ALE and Atos now have nonexclusive go-to-market motions. We believe that these modifications were on solid economic terms with the intention of helping drive migrations to our leading cloud communications products. And then to the last part of your question, what I will say is that over the last few months, we have brought down the upfront commission costs across the broader channel and VAR ecosystem as well as call it the commission costs to our direct sales base, building on some of the comments that Sonalee made earlier today, while at the same time also allowing top performers across both the channel and our direct sales, the ability to make more. And that has not driven any sort of material change to deal activity. And our overarching goal is using all of these levers to drive evermore profitable growth.
Operator: The next question is from Strecker Backe with Wolfe. Please go ahead.
Strecker Backe: Hi. Thanks for taking our question. Can we hear about just how you’re thinking about seat growth versus ARPU growth contemplated within the guide? And then just a quick clarification. I believe you mentioned an operating margin exit rate for 2023, and I missed that. So if you could just give that again, that would be very helpful. Thank you.
Sonalee Parekh: Sure. So I’ll start off with the second part of your question, and then I’ll hand over to Mo around seat growth and how it’s in correlated to the guide. So yes, you heard that correctly. So we are guiding to operating margins for the full year 2023 of at least 18%. And you heard me correctly, we are targeting and expect to exit Q4 with operating margins of at least 20%. So you may recall two quarters ago, we gave that 20% medium-term guide, and we are now very happy to tell you today that we will exit Q4 2023 at, at least 20%.
Mo Katibeh: And then building on that to talk about the ARPU portion of your question, I mean, our overall ARPU has remained stable now for the last one to two years at above $30. And frankly, we’re not seeing competitive pressures impact our ARPU. At the end of the day and this goes back to our guiding mantra of profitable growth. We are being disciplined, we are entering into deals that are profitable and we’re expecting that our ARR will grow above our revenue growth in 2023 tied to each one of those aspects.
Operator: The next question is from Michael Funk with Bank of America. Please go ahead.
Matt Bullock: Hi. Thanks for the question. This is Matt Bullock on for Mike Funk. My question is around business momentum. So clearly, some conservatism built into the guide for 1Q, but obviously, a step down in growth. We’ve talked about some sales cycle elongation, smaller deployment sizes for a couple of quarters now. Just curious on any trends you’ve seen so far within the first quarter if you’ve seen customer behavior kind of stabilize. Thank you.
Mo Katibeh: Thanks for the question. And the net there is we’re seeing very similar trends so far in first quarter versus what we saw in fourth quarter. And as I mentioned during my prepared remarks, sales cycles remain elongated. We have seen the size of initial deployments decline sequentially throughout 2022, and that was true in Q3 to Q4. And from a churn perspective, we did see a degree of year-over-year improvement. Q4 is usually our seasonal high on churn, but improving trends year-over-year.
Operator: The next question is from Ryan MacWilliams with Barclays. Please go ahead.
Ryan MacWilliams: Thanks for taking the question. We’ll touch on your Microsoft Teams opportunity. Are you seeing more wins to this channel? And is this helping you get into larger customers? Like is it also helping pull through your contact center deals? And when does that include the Microsoft partnership? Thanks.
Mo Katibeh: Very good. Yes, as I mentioned in my prepared remarks, we are seeing triple-digit growth into our Microsoft Teams practice. And yes, to the second part of your question, we are definitely seeing an upmarket skew to the customers who are purchasing our Microsoft Teams products. And it really becomes about the value of the product capabilities, Five9s, the integrated UC and CC to your point. That is unique in our offering there. And inherent to those two things, it’s skewing upmarket and the power of UC and CC together. We are seeing a very strong attach rate of contact center when we’re selling into Microsoft teams.
Operator: The next question is from Terry Tillman with Truist Securities. Please go ahead.
Terry Tillman: Thanks for taking my questions. Hi, Vlad, Mo and Sonalee. Two quick questions. The first one is on the contact center side. I mean, Mo, you’re talking about some of these dynamics that have continued to weigh on the business. Then the contact center side, is there anything different, though, in terms of ARR activity? And is that more resilient? Or is it about the same type of dynamics that you’re seeing on the PBX side? And then I have a follow-up.
Mo Katibeh: Well, we are seeing that our CCaaS ARR is now approximately $300 million, which, frankly, we think is pretty amazing and positions us as one of the five largest CCaaS players on the planet. We are seeing the growth trend above the company average and well above the market growth as well. Relative to our attach rate, we’re seeing it be attached on our larger deals, call it the $1 million plus deals, a fairly consistent rate of over 60% for some number of quarters. And at the end of the day, I think it speaks to the trend from – in the buyer community, if you will, of customers are looking for tightly integrated UC and CC capabilities and the unique differentiations that they get when they’re purchasing our market-leading UC product and this market-leading CC product together.
Operator: The next question is from George Sutton with Craig-Hallum. Please go ahead.
George Sutton: Thank you. Relative to the Avaya bankruptcy is it logical to assume customers – premise customers at Avaya will feel some discomfort from that move and could accelerate migration? Is that something you historically have seen?
Vlad Shmunis: Yes. Vlad here. Look, we actually – no one wanted Avaya to go bankrupt again. But we are firmly of the opinion, and I think Avaya concurs, we remain the absolute best cloud destination or destination for their world’s largest customer base migrating today [ph]. We have the integrations. We have endpoint support, we have channel relationships, and we have the sales process well oiled. Just to remind everyone, many, many hundreds of thousands of seats have already moved under the original agreement. We expect for this to continue and hopefully accelerate, but at least continue with a new structure. And it’s a win-win for both companies, but most importantly, it’s a win for customers. And if you think about it, sure, no one wants to deal with a bankrupt provider if I’m an Avaya customer. But, a, no one is also expecting for this bankruptcy to last too long. This is why there is a pre-pack. We’re part of that pre-pack. And look, I’m not a bankruptcy attorney, obviously. But I think generally simulations are that this is going to be a relatively short and relatively painless process and that the company will reemerge. By the way, it’s a substantially stronger entity with a stronger balance sheet, much better debt coverage, et cetera. So if you’re a customer frankly, where are you going to go? If you want to go – it’s really hard to go from on-prem to on-prem. You might as well go to the cloud. Why not go to the absolute cloud UCaaS leader, which is RingCentral and which has all of these differentiated integrations and assets with Avaya? So I have to say, we feel really, really good given the backdrop. We feel really good where we ended up. I think they feel the same, and we’ll see what the future brings. Again, many tens of millions of seats on-prem with Avaya, in particular, ready to be migrated.
Operator: The next question is from Matt Stotler with William Blair. Please go ahead.
Matt Stotler: Hi everyone. Thanks for taking the question. Just two for me. So one, I think, Mo, you talked about changing the terms of the Atos agreement. With that business being sold to Mitel, what are the implications there for RingCentral, both on an absolute basis and you think about kind of the trajectory of that business historically versus what you expect going forward? And then the second question is on the converts. Just now you have the debt facility that you can leverage for that. What are you waiting for in terms of kind of what you need to pull the trigger on that? And then what should we expect in terms of interest expense associated with those – that credit facility? Thank you.
Mo Katibeh: Very good. So, I’ll start with the Mitel, Atos one and then turn it over to Sonalee. Mitel is an important partner. They contributed solidly in 2022 sequential seat growth every quarter. As you stated, Mitel and Atos are currently in discussions. Nothing is final as far as we know. If they do combine, it doesn’t change the fact that there are millions of on-prem seats for them to convert, and our agreement will continue to be in place to be Mitel’s exclusive UCaaS provider, and then time will tell. We’ll see what happens there.
Sonalee Parekh: So just to answer your question on the convert, obviously, our current convert is paying interest at 0%. So it really comes down to market conditions and looking at the trade-off between that 0% facility versus the discount that our converts are currently trading on. And that’s something that we, as the management team, will continue to evaluate. We obviously don’t feel any pressing need to go and do anything immediately, and the great thing about the financing that we have structured is that we have this delayed draw aspect to it. So, we feel like we have a lot of optionality and flexibility there. And as we grow our EBITDA significantly over the next couple of quarters, optionality only increases from there.
Operator: The next question is from Michael Turrin with Wells Fargo Securities. Please go ahead.
Michael Turrin: Hey, thanks, appreciate you fitting me in. The margin guide for at least 18%. Sonalee, it’s a big step up from the more than 350 basis points you’re talking about last quarter. It does have an 18% or higher attached to it. So can you just speak to what would drive that number higher? How much of it is tied to how growth ends up versus additional optimizations you’re seeing on the cost side?
Sonalee Parekh: Yes. So look, I would say if growth ends up being better, then that would be incremental to where we’re guiding. So the guide on the margin is consistent with the revenue guide that we gave today. And as we said, the guide does not embed or incorporate any improvement in the macro or any deterioration for that matter. In terms of the drivers, labor savings, as you know, given the actions we took last year, that’s about three points of the margin expansion. And then the remainder will come from optimizing spend in customer acquisition and then third-party spend, and that’s rationalization of suppliers. We have a very big procurement project going on at the moment. But ultimately, we expect operating profit dollars to be up around 60%, 2023 over 2022 and that’s on top of the 50% year-over-year increase in operating profit dollars that we achieved for this year. And then I’ll just once again reiterate that we do expect 4Q operating margin to be at least 20%. So that’s 600 basis points above where we ended Q4 this year.
Operator: This concludes our question-and-answer session, and the conference is also now concluded. Thank you for attending today’s presentation. You may now disconnect.